Operator: Ladies and gentlemen, thank you for standing by, and welcome to the JOYY Inc.'s Fourth Quarter and Full Year 2021 Earnings Call. At this time, all participants are in a listen-only mode. After the management’s prepared remarks, there will be a question-and-answer session.  I'd now like to hand the conference over to your host today, Jane Xie, the company's Senior Manager of Investor Relations. Please go ahead, Jane.
Jane Xie: Thank you, operator. Hello, everyone. Welcome to JOYY's fourth quarter and full year 2021 earnings conference call. Joining us today are Mr. David Xueling Li, Chairman and CEO of JOYY; Ms. Ting Li, our COO; and Mr. [Alex Leo], the General Manager of Finance. For today's call, management will first provide a review of the quarter and then we will conduct a Q&A session. The financial results and webcast of this conference call are available at ir.joy.com. A replay of this call will also be available on our website in a few hours. Before we continue, I'll refer you to our safe harbor statement in our earnings press release, which apply to this call as well as we will make forward-looking statements. Finally, please note that unless otherwise stated, all figures mentioned during this conference call are in U.S. dollars. I will now turn the call over to our Chairman and CEO, Mr. David Xueling Li. Please go ahead, sir.
David Xueling Li: Hello, everyone. Welcome to our fourth quarter 2021 earnings call. Let me start the call with an overview of our fourth quarter results. We grew our total revenues by 16.8% year-over-year to $663.7 million. Specifically, BIGO's revenue increased by 30.2% year-over-year to $576.1 million. Meanwhile, we further improved our non-GAAP profitability at the group level when exclude YY Live as we earned a non-GAAP net profit for $98.3 million and improved our non-GAAP net margin to 40.8%. BIGO's non-GAAP net profit expand to $103.5 million, while its non-GAAP net margin improved to 18% from 8.7% in the previous quarter. As a result, for the full year of 2021, we generated $2.62 billion in total revenue, an increase of 36.5% from 2020. Notably, we grew BIGO's full year 2021 revenues by 34.1% to $2.32 billion at the group level. Our global business reached another major milestone as we attended full year non-GAAP profitability for the first time when exclude YY Live having booked $108.9 million in non-GAAP net profit with a 4.2% non-GAAP net margin. This was mainly attributed to BIGO's strong financial performance as it turned profitable for the full year for the first time by generating $182 million in non-GAAP net profit with a corresponding non-GAAP net margin of 7.8%. Looking back, 2021 as a year marked by growth, strategic adaptation and breakthroughs. On the growth front, in 2021, we continued to expand our revenue driven by our enhanced monetization capabilities across multiple social entertainment products. Consequently, for the full year of 2021, BIGO LIVE's revenue grew by 31.3%, Likee's revenue grew by 97.8% and HAGO's revenue grew by 54.6%, all contributing to the 36.5% top line growth at the group level. On the strategic adaptation front, we proactively implemented some strategic elements in early 2021 because we value the long-term growth, health and sustainability of our product. We made certain adjustments to Likee and HAGO's marketing strategies and priorities, investment in their content and social systems, which we believe are fundamental to the user experience and the long-term competitiveness of our products. After a few quarters of executing those adjustments under a more prudent marketing strategy, we are pleased to report a significant improvement in the monetization efficiency, financial and operational health of these products. As a result, we substantially narrowed their operating losses, even though their MAUs experienced a few short-term fluctuations. The combination of the monetization of the more aforementioned products, our proactive adjustment in marketing strategies, the growing synergy among our products and our enhanced operation efficiency across the board had led us to an important breakthrough, enabling us to achieve full year profitability for our global business for the first time since the de-consolidation of YY Live. Our healthy cash flows demonstrate that we have entered into a new phase of sustainable development. Following a positive operating cash flow of $77.6 million in the third quarter, we generated another positive operating cash flow of $150.2 million in the fourth quarter. Looking back, we continue to achieve innovative breakthroughs as evidenced by our proven track record of incubating, developing and monetization of our products. With our existing global market presence, healthy cash flows and sustainable growth momentum, we are confident in our future prospects as we continue to reinvent ourselves, explore the global market, increase our global market share and capture future growth opportunities in the social entertainment industry. Next, let me share greater details of the progress we made in each of our product lines during the fourth quarter. Let's start with BIGO LIVE. Our efforts including cultivating a diversified global content ecosystem have been fruitful in expanding our product reach as BIGO LIVE's MAU grew by 11.9% year-over-year to $32.2 million in the fourth quarter, despite macroeconomic uncertainties, challenges posted by the resurgence of COVID-19 and some depreciation of certain currencies against the U.S. dollar, and that partially offset our growth momentum. Our business demonstrated super resilience on a year-over-year basis. BIGO LIVE's live streaming revenue and paying users increased by 12.5% and 10.3%, respectively, in the fourth quarter as we continued to make headway with BIGO LIVE's growth trajectory in multiple geographic regions. In particular, revenues and paying users from Europe increased by 42.2% and 40.7%, respectively; while revenues and paying users from Southeast Asia and other emerging markets increased by 16.6% and 24.4%, respectively. In the fourth quarter, we made additional progress in diversifying our content ecosystem in reaching our local live content offerings, increasing our supply of premium content and improving user engagement. In December 2021 and January 2022, we hosted a series of online events in multiple regions across the globe, such as Europe and the Middle East. Those events featured many popular regional artists, musicians, singers and dancers, in addition to the region's top live streamers. To provide users with refreshing and immersive social experience, we launched innovative product features in the fourth quarter, incorporating computer vision, virtual reality, augmented reality and many other cutting-edge technologies. In December, we introduced a brand-new feature called Virtual Live, which enable users to create custom-made 3D digital avatars as their virtual representations and that mirror their live body movements and facial expressions via camera when streaming on BIGO LIVE. We plan to upgrade the Virtual Live feature continuously in the future to increase our user personalization, boosting user interactions and enhance user engagement. Beyond that, we also introduced into BIGO LIVE a virtual background feature for a single user, live streaming rooms and implemented a tiered system for ranking special user privileges in multiuser live streaming rooms. All these technology innovations have produced encouraging results as average and cumulative duration of live streaming sessions increased year-over-year by 12.1% and 8.3%, respectively, in the fourth quarter. To enhance our brand influence, we continue to organize signature events by leveraging the extensive localized operational experience of our international talent. For example, in January this year, we hosted the BIGO LIVE annual gala, inviting around 100 streamers from a variety of cultural background to perform through video feed in front of their global fans during the annual gala through the grand debut of our recently launched Virtual Live 3D avatar feature in collaboration with The Toys, a Thai singer. BIGO LIVE delivered a brand-new view experience through seamless integration of physical and virtual realities. As is the tradition for this annual event, we selected BIGO LIVE's most influential streamers of the year and featured them on advertisement billboards at famous landmarks around the world, including Time Square in New York and many more. Going forward, BIGO LIVE will continue executing its globalization strategy to enhance its leadership position in the social and pan-entertainment live streaming industry across the world. It will continue to focus on key regions like North America, Europe and the Middle East and the Eastern Pacific while accelerating investments in emerging markets. BIGO LIVE will also continue to localize, diversify its social content ecosystem with a focus on content categories such as music, dance, comedy, games and e-commerce, and further increase the proportion of its premium content to elevate user expansion and engagement. Meanwhile, through content product innovation and localized operations, BIGO LIVE will seek to construct interest-based online communities to help users establish more fulfilling social connections on the platform. We believe that diversified content and positive social relationships on the platform will further enrich our users' social entertainment experience, attract more users on to our community, cultivate their spending habits and ultimately drive BIGO LIVE'S monetization growth. Next, let me share some recent updates on Likee. As discussed on our previous earnings calls, we have been fine-tuning Likee's marketing strategy since the fourth quarter of 2021 and prioritizing our investment in our content and social ecosystem. Also, Likee's overall MAU experienced some short-term fluctuations as a result and reached $67 million. The downward change moderated further during the fourth quarter, especially in the Gulf states in the Middle East region. Likee's live streaming revenue continued to grow during the fourth quarter, increasing by to 26.5% year-over-year. Its revenue from the Middle East increased by 59.1% year-over-year. With a focus on identifying and cultivating talented content creators with its comprehensive creator support program, Likee continues its efforts on efforts in fostering friendly and relevant content creation community, motivated by a series of incentive programs. The number of certified creators of Likee increased by 22% consequently in the fourth quarter. The number of certified creators for the gaming category, which are widely popular among generation Z users, increased by 173% consequently. And the average quantity of premium gaming content produced per day increased by 97% consequently. As part of our effort to cultivate and support creators, Likee rolled out a series of upgrades of its product features. During the fourth quarter, Likee expanded the implementation of Superlike future to a broader user base, leading Superlike to become a unique icon for users to publicly endorse their favorite creators and support premium content. Meanwhile, certified creators received nearly 6x more incentives through the Superlike feature in December than September. In addition, we introduced another feature called Superfollow to enable creators to publish exclusive content for their Superfollowers by earning monthly subscription fee on Likee. All these new features provide more diverse monetization channels to creators, enrich their interactions with fans and incentive them to produce more individualized and high-quality content. In 2022, we will continue to invest more resources in identifying and nurturing talented creators. We will provide these creators across various content verticals with abundant user traffic support, sufficient content creation through professional support for our localized operation teams and diverse community and likely interactions between creators and fans are fundamental to sustaining Likee's monetization growth and changing Likee's user downward trend in the future. In addition to monetization via live streaming, we are also steadily steering the rules of Likee's brand advertising business and further diversifying its revenue stream. Going forward, we are confident that Likee will be able to maintain its top line growth trajectory, further narrow its operation loss and gradually resume user expansion over a long period of time. Last on HAGO. During the fourth quarter, HAGO continued its monetization growth momentum as its live streaming revenue and paying user increased by to 32.1% and 33.9% year-over-year, respectively, mainly driven by the optimizing of several engagement features and the launch of a new couple features in dating-themed live streaming rooms. We also upgraded HAGO's product to better satisfy the user demand for multiple players' social interactions. Considering the difference in user live circles and user regions, we implement and update recommendation algorithms for users to easily locate their favorite live streaming rooms. As a result, in the fourth quarter, the penetration rates for HAGO's feature channels increased by 2.2% sequentially. In 2022, HAGO will continue to provide users with better multiplayers' interactive entertainment experience by optimizing its product features, enhancing user matching capabilities and diversifying user interactions through culture and increased social entertainment community. We believe that we will continue to drive HAGO's monetization growth, further narrow its operation loss and make further progress on its path towards breakeven in 2022. In summary, 2021 was a fruitful year for JOYY. The enhanced monetization capability across multi products helped us achieve full year revenue growth of 36.5%. The combination of our increased monetization from aforementioned products, proactive adjustment in marketing strategies, better synergy among multiple products and enhanced operation efficiency across the board led us to full year profitability, not only for BIGO but also for the whole group. On capital return front, for the full year, our Board of Directors has authorized the additional share purchase program for an aggregate of $1.2 billion. As of December 31, 2021, we have bought back a cumulative 393 million of our shares, 236 million of which was out of the $1.2 billion newly added purchase plan. Additionally, we have paid out a total of $160 million in dividends. These efforts are to demonstrate our confidence in the company's long-term growth perspectives and to reward our shareholders for their long-term support of the company. Looking ahead, we will continue to localize our diversified global social entertainment ecosystem, expand our market reach and fortify our leadership position in core geographic regions. As an innovator and a pioneer, we remain committed to our vision of bridging communications among people from around the globe and bring them joyful and youthful experience. This concludes my prepared remarks. I will now turn the call to our General Manager of Finance, [Alex Leo] for a more detailed explanation of our financial results.
Unidentified Company Representative: Thanks, David. Hello, everyone. As JOYY's Finance General Manager, I will talk about the financial results. Since a majority of our revenues and expenses are now denominated in USD starting from January 1, 2021, we have changed our reporting currency from renminbi to U.S. dollar to better illustrate our operational results. Please note that the financial information and non-GAAP financial information disclosed in our earnings press release is presented on a continuing operations basis, unless otherwise specifically stated. As the [sale] of YY LIVE was substantially completed on February 8, 2021, with certain customer matters to be completed in the near future, the historical financial results of YY LIVE are reflected in the company's consolidated financial statements as discontinued operations, accordingly, starting from the fourth quarter of 2020. During the fourth quarter of 2021, despite the recent volatility in the macro environment and increased uncertainty due to COVID-19 and some depreciation of certain currencies against the U.S. dollar that partially offset our growth momentum, our business growth remains resilient. Our total revenues for the fourth quarter increased by 16.8% year-over-year to USD 663.7 million, from USD 568.2 million in the same period of 2020, primarily attributable to the enhanced monetization capabilities across multiple products, including BIGO LIVE, Likee and HAGO. In particular, our live streaming revenues for the fourth quarter increased by 15% year-over-year to USD 620.9 million, and other revenues in the fourth quarter increased by 50.3% to USD 42.8 million. Cost of revenues for the fourth quarter increased by 9.6% year-over-year to USD 440.2 million. Revenue sharing fees and content costs increased to USD 297.3 million in the fourth quarter from USD 254.2 million in the same period of 2020, which was in line, based the increase in live streaming revenues. Bandwidth costs decreased to USD 20.6 million from USD 27 million in the same period of 2020, primarily due to the company's improved emphasis in bandwidth usage, partially offset by the increased bandwidth usage as a result of continued user base expansion of BIGO LIVE. Gross profit increased by 34.2% year-over-year to USD 223.5 million. Gross margin in the fourth quarter of 2021 improved to 33.7% from 29.3% in the same period of 2020. Operating expenses for the fourth quarter decreased to USD 168.2 million from USD 251.6 million in the same period of 2020. Among the operating expenses, sales and marketing expenses decreased to USD 112.6 million from USD 146.4 million due to disciplined spending on user acquisition via advertisement for certain products, including Likee and HAGO. Through the combination of improved synergy among multiple products, enhanced operating leverage and prudent marketing strategy, we continued to achieve a steady expansion in profitability for both BIGO segment and for the entire group. Our GAAP operating income for the fourth quarter was USD 16.6 million compared to operating loss of USD 83.8 million in the same period of 2020. Operating income margin for the fourth quarter was 9.9% compared to operating loss margin of 14.7% in the same period of 2020. Our non-GAAP operating income for the fourth quarter which excludes share-based compensation expenses, amortization of intangible assets from business acquisitions as well as impairment of goodwill and investments and gain on disposal of subsidiaries and business, was USD 83.5 million in the quarter compared to non-GAAP operating loss of USD 33.2 million in the same period of 2020. Our non-GAAP operating income margin for the fourth quarter was 12.6% compared to non-GAAP operating loss margin of 5.8% in the prior year period. GAAP net income from continuing operations attributable to controlling interest of JOYY in the fourth quarter of 2021 was USD 73.2 million compared to net loss of USD 118.9 million in the same period of 2020. Net income margin was 11% in the fourth quarter of 2021 compared to net loss margin of 20.9% in the corresponding period of 2020. At the group level, we continued to achieve a positive non-GAAP net income from continued operations attributable to controlling interest of JOYY in the fourth quarter, with a non-GAAP net income of USD 98.3 million compared to non-GAAP net loss of USD 22.4 million in the same period of 2020. Group non-GAAP net income margin was 14.8% in the fourth quarter of 2021 compared to non-GAAP net loss margin of 3.9% in the same period of 2020. Notably, BIGO also continued to achieve a positive non-GAAP net income as its non-GAAP net income expanded to $103.5 million in the fourth quarter, with non-GAAP net income margin improved to 18% from non-GAAP net loss margin of 0.4% in the prior year period. Now turning to our results for the full year of 2021. Our total net revenues increased by 36.5% year-over-year to USD 2.62 billion. Our net loss attributable to controlling interest of JOYY for the full year 2021 was USD 115.9 million compared to USD 18.7 million in 2020. We have changed the first full year non-GAAP profitability at group level since the de-consolidated YY LIVE. Our non-GAAP net income attributable to controlling interest and common shareholders of JOYY for the full year of 2021 was USD 108.9 million compared to non-GAAP net loss of USD 164 million in 2020. Non-GAAP net income margin for the full year of 2021 was 4.2% compared to non-GAAP net loss margin of 8.6% in 2020. In addition, in accordance with our quarterly dividend plan approved on August 11, 2020, and on November 16, 2020, we will be distributing a dividend of USD 0.51 per ADS for the fourth quarter of 2021, which is expected to be paid on April 29, 2022, to shareholders of record as of the close of business on April 14, 2022. Next, an update on our execution of the share repurchase program. In September and November 2021, our Board of Directors has authorized additional share repurchase plan in which the company may repurchase up to USD 1.2 billion of shares in total. As of December 31, 2021, the company had repurchased approximately USD 235.7 million of its shares under this program. This means that for the full year of 2021, we bought back a cumulative USD 393 million of our shares. These efforts demonstrate our confidence in the company's long-term growth prospects and our sincerity to reward our shareholders for their long-term support of the company. We will continue to actively utilize share repurchases to create value for our shareholders. Going forward, we will continue to further expand our global market rates, cultivate our highly engaged user community and enhance our high-quality content offerings. Beginning in the second quarter of 2021, we have anticipated some negative impact on users' online social entertainment activities from the gradual lift of pandemic-related lockdowns in certain countries. We expect average net revenues for the first quarter of 2022 to be between USD 601 million and USD 616 million, excluding the revenue contribution from YY LIVE in the same period of last year. We currently have limited visibility surrounding the COVID-19 pandemic's long-term impacts and geopolitical uncertainties on our business and the market in which we operate. Therefore, this forecast only reflects our current and preliminary views on the market and operational business which are subject to change. That concludes our prepared remarks. Operator, we would now like to open up the call to questions. Thanks.
Operator: [Operator Instructions]. Our first question comes from Alex Poon at Morgan Stanley.
Alex Poon : Thanks management for taking my question. My first question is related to our revenue growth outlook in 2022, which of how are the major countries' performance doing and what's the outlook for 2022? And my second question is regarding our margins. Margin in the last few quarters have been on an uptrend. And from here onwards, any cost savings we can continue to do? And for the YY core segment, when can we see a break-even point? Thank you very much.
David Xueling Li: Thank you, Alex, for the question. As the world enters the post-pandemic area, the macroenvironment that we encounter has become of increased uncertainty and volatility. On the one hand, you see that with multiple countries gradually lifting lockdown bans, there has been negative impact on users' online social entertainment activity. And on the other hand, the resurgence of COVID-19 in certain areas both increased uncertainty on the potential economic growth, and together with the ongoing high inflation pressure across multiple regions, we do see weakened consumer confidence and capacity, which have negative impact on users' paying behavior. Despite the above complex macroenvironment, we have achieved a 36.5% revenue growth for the year 2021, which indicates that our diversified globalization strategy, which focused on various numbers of different regions across the world; and our diversified growth engines, empowered by multiple social entertainment products, are effective, enabling our global businesses to have greater resilience. So, looking forward to '22, we will continue to execute the above-mentioned strategy. We expect to have a resilient and steady top-line growth, driven by multiple key regions, including Europe, North America, Middle East, East Pacific, and Southeast Asia; and also by monetization growth across multiple products, including Bigo Live, Likee, Hago, and other products. But we like to remind you that the current outlook for our first quarter 2022 do reflect some fluctuation related to seasonality of our business. So, we expect our business growth to accelerate gradually in the second half of '22. So, in terms of the latest growth trends for the key regions, we do see promising trends in Europe, East Pacific, including countries like Japan, South Korea, Australia, New Zealand, and also the Southeast Asia region, to be good in Q4. And in 2022, we expect our business to continue to be diversified among the above-mentioned regions. Thank you.
Unidentified Company Representative : Thank you. And this is [Alex Leo]. I will take your second question. As David just mentioned, we proved the profitability of our global business by achieving a 7.8% non-GAAP net profit margin for BIGO segment for the full year for the -- and also a 4.2% non-GAAP net profit margin for the whole group in 2021. So, this means that we have officially entered into a sustainable growth stage. In 2022, we want to balance growth and profit. And this means that on the one hand, we will seize the opportunity, continue to invest and explore the global markets, and continue to increase the influence and market share of our products. And on the other hand, we expect to remain profitable and steadily improve the profitability level of our business. So, specifically for BIGO segment, on top of the non-GAAP net margin that we achieved in the year of '21, we expect to continue to steadily improve BIGO's non-GAAP profitability for the full year in the year '22. And this is based on the assumption that Bigo Live continues to maintain a relatively stable level of operating profitability, while the losses of other product lines such as Likee are continuing to narrow. In terms of the cost and expense margins, with the increased monetization across multiple products, and the improvement of enhanced operational efficiencies, we believe that cost savings could happen across various expense items. And for the other segment, we have successfully narrowed its full year non-GAAP loss by 35% in the year '21. In '22, as the monetization of Hago and also other products continue to pick up, we expect that the non-GAAP net losses of this segment to be further narrowed in the year of '22. Thank you. Next question.
Operator: Our next question comes from Thomas Chong at Jefferies. Please go ahead.
Thomas Chong: Thanks management for taking my questions. My first question is about the competitive landscape in overseas market. How should we envision the changes in this year and how should we think about the seasonality? And my second question is about the YY Live transaction. Can management share about the progress, as well as any contingency plan or any strategies that can be shared? Thank you.
David Xueling Li: Thank you, Thomas. Regarding your first question on the competitive landscape, I've shared my views multiple times in our previous earnings calls as well. So, I've just mentioned that our global business turned profitable in the year '21, and we have officially entered into a sustainable growth stage. So, this means that under the current complex -- increasingly complex macroenvironment, this makes our business more resilient and allow us to gain additional competitive advantages on top of our already existing extensive global business presence and also our proven global and localized operational capacity. So, turning losses into profits means that we have more space and time to think and plan our business from a longer-term development perspective. As we have said before, there is still a lot of potential for the global social entertainment market. We believe that with the support of our abundant cash flow and also with our healthy growth model, we will be better positioned to seize market opportunity and further increase the market share and influence of our multiple products. And regarding our business seasonality, we have to admit that the outbreak and resurgence of the pandemic has actually disrupted the normal pattern from time to time. And according to our limited observation of our business trends in the past, the first half of the year is usually a lower season, and business growth usually accelerate in the second half of the year. The current outlook for our first quarter 2022 reflects such seasonality fluctuation, and we expect our business growth to accelarate gradually in the second half of '22.  And regarding your second question about the sale of YY Live, the deal is still ongoing, and if there's any update, further information will be disclosed when as required by applicable law. Thank you. Next question.
Operator: Our next question comes from Yiwen Zhang at China Renaissance. Please go ahead.
Yiwen Zhang: Thanks management for taking my question. So I have a couple of questions. Firstly, regarding Likee. So what's our plan for marketing acceleration pace this year? And additionally, what's our expectation for the Likee monetization loss controlling and also user trend? Secondly, what is your mobile live streaming monetization target for this year? Thank you.
David Xueling Li: Regarding your first question about Likee, as I just mentioned in the prepared remarks, in the year '21, we took some proactive changes to Likee's -- to adjust Likee's marketing strategy and focus on the identification and cultivation of content creators. As a result, although Likee's MAU did suffer some fluctuation, after several quarters of executing the marketing adjustments, Likee has also achieved several key results. In the past year, we see that Likee's livestreaming revenue has increased by nearly 100%, and its operating loss for the full year was significantly narrowed by 67% compared to the year of 2020, meaning that the product's overall growth model has become much more healthier. So, for 2022, we believe that Likee will continue to invest more resources into identifying and nurturing the content creators. We believe that a vibrant content community and the lively interaction between the creators and the fans are fundamental to sustaining Likee's monetization growth and also reversing Likee's user downward trend in the future. And in terms of monetization, Likee will continue to increase the penetration rate of livestreaming and improve its monetization efficiency in the year '22, so expect Likee to maintain steady monetization growth in the year '22. In terms of its marketing strategy, we'll continue to observe the performance of Likee in multiple core markets, including the Middle East and Southeast Asia, and its user engagement level retention, and also content progress in these markets. At the right time, we might consider increasing investment on its user acquisition, but we do expect Likee's operating loss for the full year to be further narrowed and will have the opportunity to be one step closer toward self-sustainability. And regarding your second question about our non-livestreaming revenue, our non-livestreaming revenue in year '21 increased by 39% throughout the year, accounting for 5.4% of our total revenue, mainly from our advertising and also membership subscription revenues. So, monetization contribution from the recently launched features such as Likee's SuperLike and SuperFollow are still very, very small, as their primary focus at this stage is still to provide additional support to our KOL pool. So, as mentioned before, in the previous quarters, the growth of our advertising revenue is closely related to our content pool and also the scale of our user base. So, at this stage, we will prioritize the cultivation of our content pool and our product experience, and also steadily advancing our diversified monetization plan. I believe that the newly introduced -- the latest product features have demonstrated our efforts toward this direction. Thank you.
Jane Xie: And that's the end of our Q&A.
Operator: Thank you, management. I'll hand it back to you for closing comments.
Jane Xie: So, thank you for joining our call. We look forward to speaking with everyone next quarter. Thanks.